Operator: Greetings and welcome to SailPoint Technologies Holdings, Inc. First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. I would now like to turn the conference over to Josh Harding, Vice President of Financial Planning, Analysis and Investor Relations. Thank you. Please begin.
Josh Harding: Good afternoon and thank you for joining us today to discuss SailPoint's first quarter financial results. Joining me today are SailPoint's CEO and Co-Founder, Mark McClain; and SailPoint's Chief Financial Officer, Cam McMartin. Please note today's call will include forward-looking statements and because these statements are based on the company's current intent, expectations, and projections, they are not guarantees of future performance and a variety of factors could cause actual results to differ materially. Since this call will include references to non-GAAP results which exclude special items, please reference this afternoon's press release in the Investors section of sailpoint.com for further information regarding forward-looking statements and reconciliations of non-GAAP results to GAAP results. And now, I'd like to turn the call over to Mark McClain.
Mark McClain: Thanks Josh and good afternoon everyone. Thank you for joining the call today. I'd like to share our results for the first quarter of 2019. Total revenue was $60.6 million, an increase of 24% over Q1 of 2018 and non-GAAP operating income was $518,000 in line with our guidance. We added 46 net new customers in the first quarter. Our Q1 results were consistent with our guidance. We shared in our press release that we have lowered our outlook for the full year due to the fact that our sales pipeline has not matured at the rate we initially expected nor has it matured at the rate we'd experienced in prior years. Importantly, our competitive position remains as strong as ever and we have best-in-class solutions for both large enterprise and mid-market enterprise buyers. The challenge is that our go-to-market execution is falling short of our standards. As we spent significant time analyzing the root cause in recent weeks, we identified two factors impacting the quality and volume of opportunities in our sales pipeline. First, we increased our focus on targeting mid-market enterprise buyers and our go-to-market teams didn't maintain the same level of focus on our large enterprise audience. This impacted the volume and the pace at which deals were moving to the large enterprise portion of our pipeline. Second, as we expanded our focus and emphasis on the mid-market enterprise, we didn't effectively adjust our go-to-market approach with these buyers and we are not experiencing the higher levels of growth we know we can. While this is obviously disappointing in the short-term, let me talk about the things we've been doing in the business that we think will help correct this going forward. First, we're renewing our focus on the current and emerging needs of the large enterprise segment of our business. This includes sharpening our focus on where the large enterprise market is going, more vertical industry messaging, emphasizing the importance of governing cloud infrastructure and cloud applications, and our multiple deployment options for hybrid environment.
Cam McMartin: Thanks, Mark and thank you to everyone on the line for joining us today. Our financial results for the first quarter came within our guidance on both, the top and bottom lines with total revenue growth 24%, positive non-GAAP operating income and meaningful cash flow from operations. Total revenue was $60.6 million, an increase of 24% over Q1 of 2018. License revenue increased 11% year-over-year to $18.7 million. Subscription revenue increased 41% year-over-year to $31.8 million. Services revenue was $10.1 million, up 5% compared to Q1 of 2018. On a geographic basis, the United States contributed 69% of Q1 revenue with rest of world making up the remaining 31%. This compares to 66% for the United States and 34% for rest of world in Q1 of 2018.
Operator: Thank you.  Thank you. Our first question comes from the line of Dan Hedberg with RBC Capital. Please proceed.
Matt Hedberg: Hey, guys. It's Matt Hedberg. Thanks for taking my questions. I'm kind of curious maybe digging in on the pipeline if you could talk about. I'm sort of curious, as you sort of done some due diligence, have you noticed anything from a pattern basis? Was it any particular region in the U.S.? Was it international? And then I guess secondarily Mark you outlined some things you're going to address it, but I'm sort of curious if you could put a finer point on these and maybe the two or three things that you're thinking about doing obviously and actually for everyone, but is it additional channel training is it sort of more sales reps? Just maybe a finer point on the two or three things that you think are going to correct this.
Cam McMartin: Yes, so Matt this is Cam. Thanks for joining the call. I'll answer the first part of your question, I'll let Mark pick up the second. So I think as we did our diagnostic coming into -- looking at the balance of the year both Q2 and the rest of the year and we did a fairly thorough-going look at where the pipeline was, what the movements had been across time. And going back as you recall, we guided for the first time in the year back in early March and at that point had gone through as you would expect our typical thorough-going review. And have seen pipeline for Q2 and Q3 being solid relative to historic metrics and Q4 obviously in good shape still needing some pipeline growth, but not atypical for a year on a historic basis. As we came into and through March and into -- excuse me into April what we really began to see was more movement than we would typically see inside this quarter. And the net result of that was a less mature pipeline for Q2. So as we looked at our historic closing metrics, the result was to bring the quarter down. I will tell you we looked at it across all of the variables that is geography and vertical and really -- verticals and other metrics that we look at and we really saw a bit of softness across the totality of the quarter's pipeline that is Americas, Europe and Asia and in addition, really no particular vertical stood out for us and as -- or highlighted in the prepared remarks. I think we had a bit more softness on the license side of the equation than we saw on the subscription side of the equation. So our analysis as we laid out really reflected a bit of softening in Q2 especially across the board. And as we look at the balance of the year we saw that same pattern showing itself in terms of the maturity and health of the pipeline and quite frankly again movement from what we had seen back in the late March timeframe before we guided.
Mark McClain: Hey, Matt, it's Mark. On the going forward kind of adjustments, I think a couple of thoughts that we highlighted on the call and I'll go a little deeper. There was a sense in which as we were watching the development of the pipeline in the mid-market I think this is part of why we saw some movement in the pipeline within the quarter that that these early adopter buyers when we think now in retrospect we've probably been tapping for last couple years in the mid-market. As we moved into a more mainstream adoption phase of that market for identity governance granted those mid-market buyers have been buying other types of identity software for a while right access management and privilege access. I think what we're finding is the buyers we're getting to now need a more targeted specific delineation of the solution. For instance, how does this specifically help me with SAP governance? How does it help me manage AWS? How does it help me with compliance on new regulatory frameworks like GDPR? So we've tightened up and tuned the messaging and we're already seeing some pretty good early signals that that's resonating causing deals to move a little quicker in the pipeline stay strong et cetera. And then we also highlighted I think that focus we put on the mid-market took a little of our focus not a lot by the way we want to be careful here that we don't overcorrect a little of our focus off the enterprise buyer and we've seen some of that same kind of adjustment in the enterprise meaning there are definitely customers who still want a broad-based identity solution in the enterprise. Some of them want to be very clear with us how we're going to help them manage their transition to cloud and live in a hybrid computing environment. So all of that said I feel like we understand better we've got a little bit up track in both segments, both the enterprise segment and the mid-market. We've already made some adjustments and we are seeing some good movement in the pipeline early on but not so aggressive that we're willing to kind of stay where we had been on the guidance.
Matt Hedberg : That's great. And then maybe just a quick follow-up. Obviously, you guys have had a lot of success over the last few years with growth 30% to 40% or better. It sounds like you don't think there's a competitive issue out here so it seems like you're not losing deals. And I think Cam you mentioned I think your pipeline is at an all-time high. Going from where we are now kind of low double-digit growth this year could you remind us again, sort of, how fast you think the underlying market that you guys are in is growing? And how soon until you think we can get back to some of these market growth rates or even better like you guys had been delivering?
Cam McMartin: Yes, so Matt a couple of comments there. The -- I think that the answer in terms of looking back into Q1 that's obviously the place we look at what the competitive dynamic is Q1 looked very typical to us I would say, as we've now turned the corner on the quarter and look back that is competitive win rates progression of transactions through the pipeline within the quarter. So if you will maturation and the way in which we got deals closed. So our overarching conclusion that we want to make sure we communicate today is this is more about the rate and pace of pipeline expansion and pipeline quality on a near-term basis versus a change in the market outlook if you will or a competitive change. We don't see any of those variables manifesting themselves in the underlying numerics that we track on a quarterly basis. You asked the question about growth. I think our belief is it's important to remind you that we are growing in the large enterprise phase while we're seeing -- because of some of the highlights that we gave you we're seeing a revenue decline in our current outlook for the year. We are seeing good overall growth in the pipeline across the 12-month window in the enterprise space and we're continuing to see healthy growth in the SaaS side of the business just not the level of growth we wanted to achieve or would expect to achieve. And so to your question on growth outlook, I would have you look back at where we've guided for this 2019 originally. Our belief is with the investments that we are making in product, the investments we are making in the sales organization and marketing programs with the renewed focus and tightness in the approach as Mark highlighted that we'll begin to see pipeline build more successfully in front of us through the balance of the year. And we'll see the growth rates begin to pick back up. And we think we see nothing in our outlook over the intermediate term that would suggest we can't get back to the type of growth that we would have expected as we entered 2019.
Matt Hedberg: Great. Thanks a lot, guys.
Cam McMartin: Thanks, Matt.
Operator: Thank you.  Our next question comes from the line of John DiFucci with Jefferies. Please proceed.
John DiFucci: Thank you. Thanks, guys. So sort of a follow-up to Matt's questions. So having license declined 4% to 5% and thinking about that as being primarily the enterprise or traditional enterprise business versus plus 10% or so the previous guidance for the year. And I know that's not a sure thing like some large enterprises could buy IdentityNow or some smaller enterprises could buy IdentityIQ. But I just wanted to sort of figure this out in my head. So, can you remind us about how long your sales cycle is? It almost seems like to go from plus 10 to minus four to five, almost seems like -- I don't know did you almost abandon efforts to build that pipeline? Or just sort of let it just sort of -- I'm not sure how that could -- such a dramatic change to have a decline in that and I just want to understand how that could have happened.
Cam McMartin: Yeah. John, this is Cam. I'll start out again and let Mark add to the commentary. The answer to your first question around sales cycle duration, the typical sales cycle duration for the large enterprise is about 270 days and for the middle enterprise customer about 180 days. That's roughly speaking. So that's an average obviously. Deals close faster than that, deals take longer to close than that on average. The reality of where the growth moved for us in the large enterprise space between where we guided originally and today is really movement in the underlying pipeline as we look at it. And I think candidly, as Mark highlighted, I think, we took a business focus away in our business activity that is the motion of demand generation pipeline build and so forth in recent months and the result of that was we saw some weakness in what has otherwise been the strong part of our business that is the large enterprise part of the business. In response to Matt's question, I want to be clear again, our competitive win rates in that market -- that large enterprise market we're very healthy in Q1, the replacement cycles that you have seen us talk about in the past from a legacy competitor perspective were very much intact. And so, we do believe as we've gone diagnostically down the road to understand where we landed and how we landed here, it was an over rotation a bit towards the mid-enterprise market as we try to keep extending our footprint in that market and a drop in focus in the large enterprise. And one of the things that we have redoubled our efforts on as we've begun to understand what the disconnect has been is to go back and look at those things that we were doing well in the large enterprise and launch programs to do those things focused on replacements again in terms of specific targeted programs against the legacy competitors and other activities. We've, I think, importantly redoubled our efforts with the global SIs. As you know we added EY in the first quarter and we are working very hard to get them up to speed and productive for us in the marketplace, because that global SI contribution in the large enterprise has been very important and we saw a good contribution there in the first quarter, and we've got to go back and make sure we're working closely with them as we build and grow pipeline at the way we would expect to grow. So, I think, those are some highlights I would give you. I'll let Mark add on some additional thoughts.
Mark McClain: Yeah. I don't have much to add, John, on that. Honestly, I think the truth is we didn't drop our focus entirely. I think we saw that there was some shifting away from the demand gen activity that we would typically have focused on the enterprise toward the mid-market. And as a result we saw a little bit of weakness developing in that enterprise segment that we just got uncomfortable holding the same guidance we've given you before. And we -- and at the time we saw it, we already began to shift some of our focus to some renewed programs for targeting legacy players, et cetera. So, all that to say, we do feel like we're already seeing some good lift in that pipeline development. As you know a lot of that pipeline now that we're developing in the enterprise segment does start to look like it's out in 2020 and one of the things we'll be working on is try to improve some of that to pull it in, as Cam like to say remember an average is an average, like some of our enterprise deals are absolutely closed in less than nine months. But for now I think we feel like this is the prudent guidance for the market and that we will be working hard to improve it.
John DiFucci: Okay. And then if I may -- just a follow-up -- just a sort of general question here. It sounds like at least you guys think that this is somewhat self-inflicted just sort of what's happened here. But can you just tell us you said you're seeing some signs anyway that things are improving. It -- what's implied in guidance, the current guidance? Is it imply that things are actually going to improve in this guidance? Or given it's so early as it -- is it imply that, okay, this is -- if things stay the way they are, this is kind of what we'll do?
Cam McMartin: Yes. John, I think, so the answer to your question is, from a guidance perspective we have tried to be, I think, very thoughtful about how we've guided, given the early indications of progress against some of these variables, right? I want you to understand that, as you've heard me say earlier and to give you the time line, again, we've looked at our metrics in March and saw what we felt like was a strong outlook relative to the guidance that we gave you in March and had an evolution of outlook from March through the middle of April, that showed a less growth-oriented outlook for 2019. And we began to dig in, as you would expect us to, very aggressively day by day into all of the moving parts of what it is that we were doing and what we had stopped doing. And we, I think, as a team have tried to very deliberately develop a set of action-oriented activities to get back on track. As you highlighted in the early part of your questions, this is a longer sales cycle. Some of this, because of the maturation and progression of deals in the pipeline it's our belief that it will take a bit of time to get the growth back on track, as I link you back to Matt Hedberg's question, this is a guide that we believe reflects the improvement that we can achieve in the pipeline, but we have work to do. I don't -- I want to make sure you understand that we are going to be working hard to execute against the programs that we have laid out for ourselves. We see those programs as being -- in terms of places of improvement, as being very opportunistic, in that regard, in terms of the contribution they can make and it's now a matter of execution. You asked the question earlier, I imposed a positive notion that this was self-inflicted. I think the answer is, this was an execution lift -- bump in the road for us that quite frankly is unfamiliar to us. You're well familiar with the history of the operation of this business and the growth of this business. And we are completely unsatisfied with where we are at this point in terms of where we sit today and having to adjust the guide as we're doing. And we are, as a team, completely unified that we're going to go after getting growth back on track and taking the necessary actions to do so.
John DiFucci: Okay. Okay. And I -- that was my second question, so I'll let it go. But I'm just trying to get a sense of something happened here and the things have to get a lot better for you to hit the numbers you just gave? It sort of says, they have to get better for you -- sort of, what you just said, Cam.
Cam McMartin: Well, I think -- John, I think they have to -- look, I think, the way to think about a lot better versus a bit better, what we have to do is, sustain good performance of maintaining the quality of the pipeline within the current quarter, which we worked very hard to do on the second quarter, so we have a -- quite frankly, a realistic and widely scrubbed view of the pipeline, where the deals are, what their stages are, what the health of them is? We've done the same for Q3 and Q4 as well. We've looked, I think, very directly what the pipeline addition will be, based upon our demand gen program, so that we are running the additions that we have made, in order to give ourselves a very solid opportunity to achieve the out-quarter guidance that’s reflected in the full year guidance. And we understand what's required. It is about executing and not hitting a bump in the road as we have here. And I think we've -- the redoubling of effort, the extra focus that we're giving now on the enterprise business around what is needed to get that back where we believe it should be on a growth basis, and get that replacement cycle to a place we think it should be, all of those activities, the team understands what needs to be done and much like we've been doing for many quarters, it's about execution in front of us and that's what we're going to be working very hard to do?
John DiFucci: Okay. Thanks a lot Cam. Thanks, Mark.
Cam McMartin: Thanks, John. 
Mark McClain: Thanks, John.
Operator: Thank you. Our next question comes from line of Andrew Nowinski with Piper Jaffray. Please proceed.
Andrew Nowinski: Okay. Thanks for taking the questions. So maybe based on your customer discussions, are you certain that the issues impacting your pipeline are specific to your own execution, considering the volatility in the market may have created some caution with regard to spending?
Mark McClain: It's a great question, Andy. I think, we believe, that we see things that we aren't as happy with in our execution and we know we can improve on those and that's what we're focused on. Can we delineate that part of this softness could be market? We don't think we see a lot of general market softness that contributed to this, but we're certainly watching that. It's been an interesting week this week, as these things often are in markets. But, I think, in our case we believe that the bulk of this, the great bulk of this is, we have ample opportunity in front of us that we didn't target quite as well from an opportunity standpoint that we can improve. And therefore, we will improve it and believe we'll see our results get back in line with, as Cam said, the kind of guidance -- growth guidance we had on the table in the first quarter call.
Andrew Nowinski: Okay. Got it. And then, I know you have go-to-market partnership set up with Okta and CyberArk. And I was wondering if you could give us any color as to how that -- how the pipeline of deals from those partnerships have contributed so far and going forward?
Cam McMartin: Yes. Andy, this is Cam. You're correct. We do have relationships, both with CyberArk and Okta. I would tell you those were strong contributions in Q1. In each case, what we would have expected. In fact, a little bit ahead of expectations in terms of the contribution. We continue to work closely with both teams, in terms of the way we message, in terms of how we can work together in the field, in terms of the integrations that we have between our two product sets. So there is a broad spectrum of activity that is ongoing, to deepen those and broaden those relationships, so that we can each capitalize, on the opportunity in the marketplace to -- that comes from collaborating and working together, as we go to customers and we go to market.
Andrew Nowinski: Okay, thank you.
Cam McMartin: Thanks.
Operator: Thank you. Our next question comes from the line of Rob Owens with KeyBanc Capital Markets. Please proceed.
Mike Casado: Hey, guys, this is Mike Casado on for Rob Owens. On the 4Q call, you discussed 2018 running ahead on profitability targets, but in light of the updated pipeline outlook, and the profitability guidance, can you provide us a bit more color on how your investment priorities have shifted from last quarter's outlook?
Cam McMartin: Yeah, Mike this is Cam. The answer is, is that we have -- if you look at the inherent structure of the guide, we continue to focus our investment prioritization in the same way. So what do I mean by that? We continue to believe that investing in the scale and global positioning of the sales force is important. We have moderated somewhat the growth expectations in that spend, just based upon what we believe the trajectory of growth will be. So we're, if you will we're watching a wider lens of time and making sure we're investing in a way that now reflects where we're starting from this guide, and going forward to reestablish the growth rate that was reflected in the beginning of the year guidance and the implied growth there. And so that's important, and we continue to be focused on that. We have -- in this process of relooking at the outlook for the year. We have gone back through. And reprioritized, where we think the most valuable additions to the field sales force will be. We have looked at what we're doing from a partner standpoint to make sure we're investing in the most profitable, segments of the partner program. And in addition, we have looked at all of the productivity of our marketing programs to make sure, as we go forward the spend that we have, and the growth that we anticipate will be in areas that we have found to be most productive for us or those places where we think there's an opportunity to accelerate or reaccelerate performance based upon some of the focus miss that we had in how we talked about the enterprise space. I think, as it relates to product development, again, we've moderated some of the hiring expectations. And that's trying to balance a bit. Our historic desire to have growth with profitability, and we believe that there are still good investment opportunities, in the business from an R&D perspective in terms of extending the portfolio, maintaining our lead that's reflected in the way Gartner looks at the way Forrester looks at our position in the marketplace. So, really what happened here, is, we are not changing our investment philosophy in the business. What we have done in light of the moderated guide for the business for full year 2019, is moderated what we see to be the expansion in aggregate spending across Q2 through Q4.
Mike Casado: That's really helpful detail. Thank you. And then, last quarter you talked about repackaging SecurityIQ, presenting File Access Manager, is more of a core add-on versus a third product. How did you see that repackaging impact consumption trends in the quarter, both in the channel and direct?
Mark McClain: This is Mark, Mike. I think we didn't see any noticeable movement yet, because I think that messaging obviously had -- we retrained our sales force. And our sales kicked off in late January of Q1. They've now begun to carry that message out. We're seeing about the same maybe a slightly increased detach rate -- what we call detach rate of that bunch of family to our pipeline. But we do still believe that, we are at the early stages of that as a market shift. And maybe, it's helpful, I think, I might have made this point on another call that, if you roll back the clock a decade there was a time when people saw what are now considered the two halves of governance meaning kind of compliance and life cycle management and provisioning as distinct markets. We strongly believe those were converging. We made that case. Ultimately Gartner and all the other analysts agreed with that repackaged those as a single offering in the market. We think we're at the early stages of a similar evolution here where file access governance file access management i.e. who can assess what's in the file systems Box Dropbox et cetera SharePoint, which is today generally viewed in by customers as a separate distinct thing to be managed forms the core of identity governance disciplines that we've historically focused on. We think the market will see those as more converged over time. That's certainly the message we are carrying. We think that the leading thinking customers that we talk to agree with that and are implementing that way. So we just think it's the beginning innings of a multi-inning game here on the convergence of file access management with the rest of identity governance.
Mike Casado: That’s helpful. Thanks guys.
Mark McClain: Thank you, Mike.
Cam McMartin: Thanks Mike.
Operator: Thank you. Our next question comes from the line of Walter Pritchard with Citi. Please proceed.
Walter Pritchard: Hi, I'm wondering on the Fed side, what you're seeing in terms of pipeline there? I know that was a strong contributor to you in the second -- to your business in the second half of the year and there's obviously some -- been some moving pieces there. But what's your confidence in them? What are you embedding around Fed? And then, I had a follow-up.
Cam McMartin: Yeah, sure. This is Cam. I think the basic message is fed will be a solid contributor for us, but as we look at the outliers we went back for a pipeline scrub for the balance of the year, we don't see it having the same level of contribution in 2019 as we saw in 2018. There are programs and activities we see in Q3 and Q4 that we're working very hard to mature in a way that they will be contributors to each of those quarters. As it currently stands I would tell you, we see a more historically typical pattern for 2019 that is more fed business coming in Q3 than Q4, but there is pipeline maturation that we see happening in both Q3 and Q4 for fed. So a somewhat more moderated outlook for 2019 than we saw in 2018. There is contribution coming from CDM. There is contribution coming from other departments and agencies on the civilian side. In addition we are working very hard on a number of programs on the defense and intelligence side of the business. So there's good activity there and we're pleased with the activity and our continued success in building our position in the U.S. federal market. The other thing that I would highlight for you is, is state and local is a business that we are newer in compared to U.S. fed and the growth this year in that looks to be a bright spot in what if you will has been a moderated outlook on some of the other activity we talked about. So we've got, obviously, work to do as you always do to mature that pipeline to a place of closing for Q3 and Q4. But I think that's the work we understand that needs to be done and that's what the team is focused on at this point in the fed side of the business.
Walter Pritchard: And then as it relates to cloud, how are you evolving if at all the go-to-market to try to capture customers who might feel that pain point that your product can solve when they start looking at public cloud? And specifically around Microsoft, I didn't hear you mention them as a partner in that context but it seems like their customers would be the ones that would most understand the value.
Mark McClain: Yeah, Walter it's Mark. Good point in that, I think we're finding in both our core segments, right the enterprise segment and the mid-market segment that the identity governance of applications, data et cetera in the cloud is very important in both segments. And increasingly right there's certainly the dominant franchises of AWS and Azure, so the management of those cloud infrastructures and the apps living in of those infrastructures is really key to both segments for us. Obviously Google, IBM, others play in the cloud game, but those two are truly dominant. And we have invested a lot in both the IdentityIQ and IdentityNow platforms and the management there. The tricky part with Microsoft is that from identity governance standpoint, they’ve shifted to a bit more competitive posture with us. We thought that would happen there. Obviously already very competitive with Okta, and they've made noise now that they may become more competitive in the governance landscape. I will tell you that that is not something we have a lot of heartburn over because we've now seen Microsoft attempt to get to the space in multiple times in our 20-year history in this market and have very limited success in the governance segment of identity as opposed to the access segment of identity. So we will watch that but frankly we talked to a lot of customers that are very dependent on Microsoft both their on-prem office solutions and their emerging cloud Office 360 Azure solutions and they are very pleased with our offerings there and are using us to manage those environments all the time.
Walter Pritchard: Thank you.
Mark McClain: Thanks, Walter.
Operator: Thank you. Our next question comes from line of Alex Henderson with Needham & Company. Please proceed.
Dan Park: Hey, guys. It's Dan Park on for Alex. Thanks for taking my questions. So just provide some color on what solutions are resonating well with the mid-market customers? And have they been more open to consuming SaaS versus Perpetual?
Mark McClain: Yeah, this is Mark, Dan. I think for sure they are much more SaaS than Perpetual. What we generally will say is in the below 10,000 user line it tends towards SaaS and the above 10,000, it tends towards Perpetual. In both cases that is not pure. We have some reasonably smaller companies particularly in financial services that still tend to want our IdentityIQ offering because of the complexity of the environment. Conversely we have some much greater than 10,000, 20,000 user environments that are using IdentityNow, because of their environments' needs so to speak. Particularly we've noticed that for instance in retail, a lot of very large retail organizations are perfectly content with our SaaS offering, because so much of their users and identities are in relatively simple store applications with one or two access points. So that said we typically still find SaaS being the predominant offering to the mid-market enterprise. And in -- and within that mid-market, we do see a bit more, highlighted this a little bit on the call and a little bit in the first couple follow-ups, more targeted solutions. What I mean by that? When we go with the enterprise those buyers who are very sophisticated and they're thinking about governance, identity governance tend toward a comprehensive solution over everything. In the mid-market, they may start from a position of, I'm a health care company focused on Epic, I’m a manufacture focused on SAP, and whatever kind of business, whose moving everything to Amazon web services. What's your answer for me in that environment? So they'll start with a more targeted solution. They generally still want to get us to cover their enterprise, their smaller enterprise these mid-market companies, but it often starts in that single point of focus. So we find that by tuning up some of our marketing efforts our go-to-market messaging, webinars, seminars things we do toward that kind of a buy meaning kind of a focused targeted initial buy. We seemed to be getting better resonance with this segment of the mid-market. And as we said earlier on the call we think we sort of move beyond some of these earliest adopters in the mid-market segment of identity governance towards those that are going to be looking for a little simpler way to buy. So long answer there, but that's how we see it emerging in the mid-market.
Dan Park: Great. Thanks for the info. And as a follow-up were the pipeline challenges that you're seeing now primarily focused within your domestic business? Or was it pretty evenly distributed across your geos? And as a follow-up does this impact a particular vertical more so than others?
Cam McMartin: Yeah. So this is Cam. The answer to that – those questions as I take in sequence. The change in pipeline outlook that we saw both in Q2 and for the balance of the year in terms of the rate of demand generation in the latter part of the year from a 3Q and 4Q perspective really was across the globe that is – we saw similar patterns not exactly the same but similar patterns in the U.S. or the Americas in EMEA, and in Asia Pac. And so as we then dug deeper and look at vertical, I would say the lack of progress and the lack of matured pipeline in Q2 touched all the verticals in a pretty balanced way. There are relative puts and takes on any particular vertical but what I would say is I wouldn't call out any particular vertical as being noticeably a contributor to the change in outlook by any stretch of the imagination. This is - that's why as we diagnostically come back to the answer we come back to is this is a focus on execution question not a market question.
Dan Park: Great. Thanks for the color. That is really helpful. Thank you.
Operator: Our next question comes from the line of Melissa Gorham Franchi with Morgan Stanley. Please proceed.
Melissa Franchi: Hi. Thanks for taking my question. In the enterprise space are you primarily still just seeing IdentityIQ as the primary product of choice? Are you starting to see any shifts between IdentityIQ and IdentityNow as enterprises are increasingly willing to adopt SaaS-based solutions? And does that factor into your outlook at all?
Cam McMartin: Melissa, Cam. I'll start and I'll let Mark follow on. I think the answer is we are not seeing any fundamental new directional shifts in the ways in which the large enterprise customers want to consume beyond what we've told you in the past. And what do I mean by that? I think importantly, the large enterprise across all the vertical segments we address continue to have a preference for the ability to deploy IIQ such that they can address their complex governance requirements from a use case perspective as well as the different service offering elements within the IIQ family including FAM as Mark talked about earlier. So I think largely what we're seeing is a continued preference there. As we told you in the past there are and Mark highlighted in the prior response there are flips and flops between the large enterprise and mid enterprise based upon particular vertical drivers that as a margin might push somebody for instance a large enterprise to be an IdNow customer. But what I would tell you is we have seen a greater focus in the large enterprise around evaluating moving that is play shifting if you will IdentityIQ deployment out of the data center behind the firewall of the large enterprise into the public cloud. And in that light, if you recall back in the third quarter of last year we announced the release of IdentityIQ that we did in that time frame that we had added some additional capabilities around serviceability manageability and deployability of that product family into those environments. That has gone well. I think the reception in that domain has been good. There, I think, we've identified initial investments that we can make that will make that it even stronger value proposition for our customers. We're prioritizing those investments in terms of new engineering and development programmatic efforts we're making there. So I think the shift that we're seeing is really play shifting for deployments of the IIQ family rather than the large enterprise making a platform if you will shift from our IIQ family to the IdNow family.
Melissa Franchi: Okay. That makes sense. And then just a quick follow-up for you Cam. What are you seeing in terms of the attrition rate within your sales force this quarter? And what should we expect in terms of investments in sales headcount for the year?
Cam McMartin: Yeah. So the attrition rate within the sales force has been consistent this year with prior years. We've always had I think a somewhat better-than-average retention rate of our sales folks on a long-term basis and I wouldn't highlight for you any overall change in the outlook if you go on a look-back basis in terms of what we're experiencing that are said around attrition. I think that is one variable we watch very closely and it's obviously something we work hard to do as to retain our very experienced and capable enterprise sales force. The growth rate in our enterprise selling team and by that I mean reps and all of the supporting cast of players around the individual reps in the field that is systems engineered, partner managers, marketing professionals all of the teams that we believe is necessary to have a successful selling program in the marketplace we're investing to grow there. We haven't given you any numbers in prior guide and I won't give you any additional information today on specifics. But what I would say is, what you -- as you look at the guide in OpEx for Q3 and Q4, you're going to -- you will see continued expansion and that really reflects on an underlying basis, our intent to grow the field sales force across the entirety of the globe, so that we can capitalize again -- as we get some of these execution problems underneath this, we can capitalize again on what we see to be the attractive growth opportunity in this market.
Melissa Franchi: Great. Thank you very much.
Operator: Thank you. Our next question comes from the line of Shaul Eyal with Oppenheimer. Please proceed.
Shaul Eyal: Thank you. Good afternoon guys. I want to go back to the question on the mid-market growing focus. So on the one hand, I think we clearly see the opportunity, but on the other hand there always could be some challenges. I'm certain that one of the names that comes to everyone's minds on the call is Varonis, which is primarily focused on the mid-market. My question is first of all, how long do you think do you anticipate that the ongoing education phase to take with mid-market account. You've already addressed kind of the subscriptions. So I think that takes care of that. But also as you go down market towards the mid-market, are you running into any new competitive logos?
Mark McClain: Okay, hey Shaul, it's Mark. Let me try to take both those on the first about kind of mid-market especially specifically in the amount of files and therefore the Varonis environment. I do feel like therefore we'll run into the most need for clarity in that we do find that when we get to the companies that are trying to get a comprehensive sense as we simply like to say is who has access to what that it's pretty straightforward for them to understand that they would prefer to answer that question across their entire IT infrastructure, meaning both applications and files file systems et cetera. I'd say that the resonance for that is definitely better in the higher end of the mid-market. And what I mean by that? We sometimes subdivide the mid-market into kind of the greater than 5000 and less than 5000 because above that line in a lot of industries, those companies are more similar to the large enterprises in terms of the complexity, regulatory environment, often you're dealing with more public companies in that range et cetera. And that in those environments they are definitely starting to click more with the value proposition of these things being integrated. Whereas I think at the lower end of the market, there's a little bit more -- whoever's got that responsibility is probably still pretty distinct the group managing SharePoint is distinct from whoever's managing core IT and identity. So I think we do find that we have more work to do, I certainly couldn't help you with how long it takes to get that whole market educated. I think we're building good reference accounts here that can talk about the value of managing those things in an integrated way and obviously we'll try to hopefully get to create a flywheel there of those that are already doing that and happy with it can talk to the next set of prospects that kind of thing. But I think we have more work to do there, but we are starting to feel like that message is resonating probably more at the high end of that mid-market than at the mid to lower end of it.
Shaul Eyal: Understood. Understood. And my follow-up I know that Cam has also mentioned -- you've mentioned the 18-month mark as being publicly traded company. I know also you mentioned in the Q&A session the term sort of the gearing bump. Do you think we can also characterize this bump as representing growth pains which is pretty much natural stage in the evolution of almost every relatively new publicly traded entity? Is that fair?
Cam McMartin: Yes Shaul, Cam. I think it is a reasonable observation in the sense that you can look across the longer span of time and see a number of younger public companies, have some challenges in the early part of their time as being public companies. We've obviously had a busy 18 months as a public company. You know the history. I don't need to highlight it for you. That said that's not the standard by which we measure ourselves. We measure ourselves by a standard of we guided in the month of March and we believe that guide and we've aligned our resources and our team to achieve that business objective. And we have surprisingly based upon all the work, we've done quite frankly fallen short. And we would not have guided had we seen this back in March. And so, our job at this point is to recognize that it is a bump in the road. It is not by any assessment that we can make either a competitive position of our product portfolio in the marketplace nor is it a change in the outlook for the identity governance marketplace. It is rather an execution problem. And execution problems as we all know have a history of taking time to develop and so they will take time to clean up. We are all aligned as a team to clean them up quickly. That's the simple story simple message, I will deliver to you. And Mark and I are spending a great deal of time working on these questions and we'll increase the allocation of that time as we go forward so that we can ensure that what we know to be the right corrective actions are getting implemented and executed against.
Shaul Eyal: Fair enough. Thank you.
Operator: Thank you. Our next question comes from the line of Tim Klasell with Northland Securities. Please proceed.
Tyler Wood: This is Tyler Wood on for Tim. Just one question from us. You mentioned the changes in mid-market messaging and renewing focus in the large enterprise but is there anything else specific you're looking to change under the new sales leadership? Maybe anything new compensation or coverage-wise that we should be looking for going forward?
Mark McClain: Good question Tyler. No, I would say not substantive right? I mean every year we're coming up on midway to this year and as we head into the late year and start planning for 2020, we always look at everything from the sales force structure to the compensation programs and all of that. So we'll certainly be looking at that. I'd say in general no. This really was more about kind of a collection of messaging frankly that comes out of our product teams to our marketing engine and then the execution everything by our field force both our channel and our direct sellers. So with all that said, I think in general we are looking comprehensively at that entire go-to-market machine and making sure we are tuning it up again for the differences that we now think we understand more clearly between those segments. And one other thing I could mention is we've definitely increased our focus on what we call target account marketing, right, really being very clear on the types of accounts that seem to resonate best, the profiles of existing accounts how does that map to prospects in our pipeline and even some newer technology that allows us to get a sense of their activity level related to this area of investment in governance -- identity governance. So I think not a lot beyond what we talked about there kind of refocusing in the enterprise, the tuning of the messages for the mid-market. We always look at tweaking and tuning our go-to-market mix of the investments in campaigns going to events all those kinds of marketing mix questions that everybody wrestles with. But I think in general those two big ideas are still the two big ideas.
Operator: We have reached the end of our question-and-answer session. This will conclude today's conference call. You may disconnect your lines at this time and thank you for your participation.